Operator: Hello, everyone, and welcome to Azul's Second Quarter 2021 Results Conference Call. My name is Simone and I'll be your operator for today. This event is being recorded and all participants will be in a listen-only mode until we conduct the question-and-answer session following the company’s presentation. [Operator Instructions]. I would like to turn the presentation over to Thais Haberli, Investor Relations Manager. Please proceed.
Thais Haberli: Thank you, Simone and welcome all to Azul's second quarter earnings call. The results that we announced this morning, the audio of this call, and the slides that we'll reference are available on our IR website. Presenting today will be David Neeleman, Azul's Founder and Chairman; and John Rodgerson, CEO. Alex Malfitani, our CFO; and Abhi Shah, our Chief Revenue Officer, are also here for the Q&A session. Before I turn the call over to David, I'd like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the Company's future plans, objectives and expected performance constitute forward-looking statements. These statements are based on a range of assumptions that the Company believes are reasonable, but are subject to uncertainties and risks that are discussed in detail in our CVM and SEC filings. Also, during the course of the call, we will discuss non-IFRS performance measures, which should not be considered in isolation. With that, I will turn the call over to David. David?
David Neeleman: Thanks, Thais. Hello, everyone, and thank you for joining us for our second quarter 2021 earnings call. First of all, I have to start as always by thanking our amazing team members, our strong culture and the passion of our people for this company have been essential as we successfully navigated the challenges of the pandemic. Thanks to their efforts, we're in the position to emerge from this crisis stronger. As you can see on Slide 3, our competitive advantages are stronger than ever. We're already flying to 130 cities, and we have many more to open this year. Our team has done an incredible job in rebuilding our network, focused on our strength, which is connectivity. Our unique fleet flexibility gives us the ability to access demand that no one else can. This has allowed us to recover our capacity to more than 2019 levels, which is incredible why we are still the only carrier in 80% of the routes we serve. Our business model is unsurpassed in terms of the network effect. And as demand recovers, we can add destinations to our map. This improves revenue and profitability in the entire network, it's very synergistic. Our focus on the network and the future leads us to Slide 4, where I'm once again excited to talk about the recently announced partnership with Lilium. We know Brazil; we have doubled the aviation market since our founding. And now with Lilium we see huge opportunities to create new markets and expand our business. The Lilium jet is ideally suited for the types of regional and sub-regional flying that Azul created in Brazil. Also, this innovative partnership helps us to accelerate our ESG commitments by leveraging in an unprecedented way economic and social developments in Brazil through the 100% electric airplane model. Speaking of Brazil, I know the external newsflow is not always positive. That's why on Slide 5 it's important to share the amazing progress the country has made. At this moment, there are more than 155 million doses have been applied of the vaccine, out of a population of 160 million, in total 600 million doses of the vaccine are available this year. That is three doses for every single Brazilian. In addition, in the upcoming weeks, all adults in Brazil will have received at least one dose of the vaccine. Thankfully, daily case counts and deaths are coming down rapidly. The economy is reopening safely, restrictions on businesses, restaurants and other public places have been removed. Schools are back in-person and our corporate customers are thankfully returning to the office. Moving to Slide 6, what gives us further confidence is the high intent to vaccinate amongst Brazilians, one of the highest levels in the world. I personally don't know anyone in Brazil, who doesn't want to get the vaccine. This intent to vaccinate is so critically important, especially as we see the impact of new variants. The combination of efficient vaccine application more than sufficient availability together with this intent gives the confidence that the country has the tools to deal with the different variants. Brazil currently has the Pfizer, AstraZeneca, Johnson & Johnson and CoronaVac all approved and are being applied throughout the country. Vaccines are the solution and Brazil now has plenty of them. Everyone has seen the booming demand in the U.S. travel as the economy opened up and we're now seeing the same phenomenon in Brazil. As John will show you, revenue trends are very encouraging. Yes, the second wave impacted the second quarter. But thanks to the vaccines and our competitive advantage, we're emerging stronger and are excited about the coming months. With that I'll turn the time over to John.
John Rodgerson: Thank you, David. I also want to thank our crew members for all their hard work during the quarter. Thanks to them, we exited the second quarter stronger. As you can see on Slide 7, our second quarter results show our business is resilient and we're confident that we've put ourselves in a great position to continue being the best airline in the world. Operating revenues totaled an impressive R$1.7 billion with RASK and PRASK increasing 9.5% and 4% respectively, compared to the first quarter of 2021. PRASK also increased 14.6% compared to second quarter 2020, further evidence of a rational capacity recovery and the sustainable competitive advantage of our network to access demand that nobody else can. Azul Cargo had another record quarter. We're really excited about the opportunities ahead for our logistics business. I will share more details in an upcoming slide. At the end of June, our cash position was the highest in our history at R$5.5 billion along with our total liquidity of R$8.2 billion, we're now more than prepared to turn our attention to the future. As you can see on Slide 8, Azul's operating cash flows surpassed operating outflows by over R$400 million. This shows how we responsibly put capacity to market to rebuild our network. Our network advantage directly drives these results. In June, Azul was the first and only airline in Latin America to issue unsecured debt since the start of the COVID pandemic. We have already made significant progress in reducing our COVID deaths and have started investing in our future again. Starting to Slide 9, you could see how the capital markets are open to Azul and that it was prudent to raise debt when we did. Our offer was 7.7 times oversubscribed enabling us to raise R$3 billion at 7.375% yield. The debt markets recognized our efforts over the last year to put Azul in a position to exit the crisis on the solid footing. The capital raise together with the cash inflows from operations will support us to continue preparing Azul for the future. On Slide 10, you could see Azul has no significant debt repayments over the next two years, allowing us to focus on the recovery. On Slide 11, we're carefully timing our capacity recovery with the advances in vaccinations here in Brazil. As David explained, adding destinations to our network is a key part of our recovery strategy. And we'll continue to do so strategically and profitably as we have always done. As demonstrated on Slide 12, our PRASK increased roughly 15% compared to second quarter 2020, clearly demonstrating that our swift network recovery is compatible with our high unit revenues. The sequential increase is our key focus as we continue through the rest of the year. Slide 13, gives the most confidence that this trend will continue. We spotted the vaccine trends early and made deliberate decision to focus on average fare recovery. We adjusted our short-term capacity plan to focus on yielding up and led the industry in fare increases. The decision is now paying off, our domestic both leisure and corporate fares are currently higher than the same period in 2019. This is the first time we can say that in the last 18 months. This is a significant milestone as we prepare the revenue environment for the seasonally strong second half of this year, and the strong rebound in travel post-vaccination. This also gives us the ability to recover profitably under essentially any scenario for fuel and FX. I cannot overestimate how important this is. Moving to the next slide. Azul Cargo had another record quarter in terms of net revenue. Our logistics business grew 137% compared to the second quarter of 2019. Just as impressive as that, Azul Cargo today can deliver to 1,000 cities all over Brazil in under 48 hours. The combination of the largest domestic passenger network together with the most flexible fleet is able to provide unmatched fast and reliable service to more than 4,500 cities in Brazil. We are making the pivot from a cargo company to a logistics company. On Slide 15, we wanted to update you on our loyalty program. Customer engagement of program has continued to be very high with more than 1 million new members added since the start of the pandemic. TudoAzul was strong during the quarter with redemptions and gross billings ex-Azul already higher than 2019 levels. Our recurring revenue program at TudoAzul club in particular has performed very well. In addition, the best airline CobraNet card in the market has been supporting us to drive further customer loyalty with more members joining each quarter. Now I'd like to focus on our commitment to make sure we remain the best airline in the world. We lead the industry and customer service metrics as measured by consumerdoor.gov disclosed by MAC in July. As you can see on Slide 16, we are now offering the fastest Wi-Fi in the region already installed on 23 of our aircraft. We have corporate customers sponsoring the product, which allows us to offer it to our customers for free. Even better the Wi-Fi is being installed at our Hangar in Campinas a clear example of how we're making Azul more efficient. We welcome all of you to fly and try this amazing product. Moving to Slide 17, I cannot be more proud to have and supply the most magical fleet in the world. The magic of the Walt Disney World will soon expand into the Brazilian skies with the arrival of our first themed aircraft to celebrate Walt Disney World 50th anniversary. In total four aircraft will be customized to complete this magical fleet. We're excited to have this unique relationship with an amazing brand like Disney. Moving on to Slide 18, I would like to remind you that in 2020, TripAdvisor rated Azul the best airline in the world. We have internally expanded our missions. Now we also want to be the best airline for the world. Aviation is a key driver of sustainable development bringing people, businesses and communities closer together. Safe, reliable, efficient and cost effective air transportation is an important component of a broader mobility strategy to faster development in an emerging market. Azul serves 130 destinations in Brazil and is the sole airline in 80% of our routes providing an essential air service to these communities. Each time Azul connects a new previously isolated destination with other region of the country, it contributes to the local development, providing employment opportunities and stimulating trade tourism among many other benefits. In the second quarter Azul supported more than a 100 different actions helping millions of people. We distributed more than 80 tons of food, over 500 organs were transported onboard our aircraft saving lives, and we delivered more than 20 million vaccines all throughout Brazil. Wrapping up on Slide 19, it's important to remind you that Azul is emerging in a stronger position and we remain with our 2022 expectation that EBITDA will surpass our best year of 2019. We have a unique and powerful levers to make that happen. We're now one of the only airlines in the world forecasting 2022 EBITDA above 2019. Yes, we have some bumps in the road ahead as fuel prices and currency remain a challenging. But as we look forward, we will focus again on fleet transformation. It continues to be a strategic target for us to transform our fleet as quickly as possible with discipline and responsibility. I feel confident that our vaccines continue to progress. As vaccinations continue to progress, the economy reopens and corporations return to office we will see a strong revenue environment during the second half of the year. We've worked hard to put ourselves in a position so we can take full advantage of it. With that David, Alex, Abhi and I are here to answer any of your questions.
Operator: Ladies and gentlemen, thank you. We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Hillary Cacanando with Deutsche Bank.
Hillary Cacanando: Hi, thanks. And I'm calling in for Mike. So thanks for taking my question. It's really impressive that by end of September 100% of Brazilians without doubt have at least one dose of COVID vaccine. So I guess are you seeing corporations in Brazil mandating their employees to get back to the office this fall? And if so what is your view of the corporate segment of your business? I mean -- or do you expect the full recovery by maybe early next year wanted to get your visa back? Thank you.
John Rodgerson: Yes, we're seeing -- our offices now filling up. I think all throughout São Paulo, the Rodizio in, so traffic in São Paulo is back on. Restaurants are open. Companies are coming back online. I think most companies will be in the office by the end of September. And we're hearing that from all our corporate customers. And so I'll let Abhi talk to how that's trending in terms of revenue demand.
Abhi Shah: Yes. Hi, Hillary. So yes, we're definitely hearing from our corporate customers that as the second dose comes into play for the months of August and September that they are coming back to the office, which obviously is a very good sign. So our corporate revenue recovery right now the latest data is around 60%, which has been a nice recovery especially in the last couple of weeks, and this month, especially a lot of people will get second doses. So I think we are already leading, Brazil as a country is leading many countries in terms of recovery. And Azul is leading that as well, because of our diversified network, and how we're exposed to different parts of the corporate business around the country. So it's not just finance, its Agro, its infrastructure, its energy, pharma, all those kinds of things. And so we're seeing some segments of corporate already over a 100% with for example, construction and engineering is already over a 100%. But then we have finance at 36% for example. So, but where we are exposed to different parts of the country, our recovery is already at 60%. And even with that, we're still booking higher fares than 2019. So as that recovery progresses, it's actually going to want to push the fares even higher.
Hillary Cacanando: Okay. So in terms of -- so that's great. But I guess in terms of getting back in terms of volume. Do you -- like when we expect and probably I guess to be relative to 2019?
Abhi Shah: Yes, so right now we're at 60%. I'm expecting steady improvement over the next couple of months. We'll have to see where we end up at the year. But I think we're going to be well ahead. I can easily see us being at 75%, 80%, 85% by the end of the year.
John Rodgerson: I think I've also want to highlight one thing that David had mentioned over 600 million doses for a population of 200 million people. And so, yet there are several individuals that got the Pfizer vaccine, others have got the Johnson & Johnson vaccine, AstraZeneca, and the CoronaVac. But Brazil has the ability to mix vaccines apply booster shots and so they have the availability to do that where many other countries in the world do not.
Hillary Cacanando: Okay. Got it. And then as a follow-up do you think average leisure fares also going to remain strong into the third quarter. And how far out on the booking corporate customers booking now?
Abhi Shah: Yes, so actually average leisure fares and corporate are both up. Leisure fares are more up, as leisure has led the recovery in Brazil like elsewhere in the world. Leisure fares are actually up over 20% compared to 2019, while corporate fares are up around 10% compared to 2019. So leisure is leading. But again, as the -- as corporate comes back further, they tend to book closer in and they tend to fly more local as we call it or more nonstop, which also pushes the fare higher. The booking curve is moving out slowly, which is good, because it shows more confidence that the customer has. And as the corporate traveler comes in, that will rebalance and come a little bit more closer in. And so you kind of have two movements. One is increase confidence customers feeling better about planning ahead, spring and summer. But as the corporate comes back, the curve will move in as well. So I would say on average, it's still further out compared to where it was in 2019. And as the corporate comes back, it will start to shift in again.
Operator: Our next question comes from Savi Syth with Raymond James.
Savi Syth: Hey, good afternoon. Just on the recovery, as you kind of outlined, I'm thinking about 2022. I was curious what you're assuming in terms of capacity both at Azul and the industry and generally demand expectations, and maybe some of the macro expectations I realized this is just kind of a high-level plan, but wondering what the -- what's underscoring that 2022 EBITDA outlook.
Abhi Shah: Yes. Hey Savi, in terms of capacity, the fleet is going to be largely unchanged. And so it's going to be increasing utilization. And a lot of it also is just coming full-year of the ramp up in capacity this year, right. So we have the sort of reductions in the second quarter because of second wave. Now we're in the process of recovering it. We have as John talked about average fares, we've actually held -- we actually could fly more if we wanted to today. But we've actually held the recovery at about 110% for the next few months. So we can give average fares time to catch-up coinciding with the vaccines, and it's actually worked out better than I could have expected in terms of the average fares that we're seeing and that gives us a lot of confidence going forward. So it's just going to be our current fleet and the capacity that we have in November/December, just coming year round. So that's going to be the -- that's where the growth comes from. There's no other incremental growth. So you can think of it as our fleet that we have today, sort of normal utilizations, just coming for a full-year as opposed to having a ramp up period.
Savi Syth: That's helpful, Abhi. And on the industry side, you've seen one of your competitors do an aircraft order and accelerating their fleet transformation, and then another competitor still working through bankruptcy. Just curious what you think the industry capacity would look like in 2022?
Abhi Shah: Yes. I mean, they're obviously listening. So I knowing what to do, but what I will say is I think that I've been very encouraged with how the industry has recovered average fair, at least we've been very, very aggressive and we -- again, like I said, we could fly more if you wanted to today. And we're not doing it. And we're giving the market and we're giving demand time to catch-up with average fares and unit revenue, right. And we made that decision in July, in late June, as we saw the vaccination numbers pick up, we said, look, we need higher average fares and we want to prepare ourselves for the returning demand. And so that's the decision that we made. And it worked out really well for us and the industry has followed. And I think that I hope that they're seeing something similar to what we're seeing, because I think it's good for everybody. So I think overall, it's going to be disciplined. I think that they also want to have a good year, like everybody else. I don't see anybody attacking anybody or things like that. I think within their plans, they're going to want to be disciplined and as are we. So our focus now is sequential revenue improvement. We're already seeing a nice recovery in August, in September. And I think the decision that we made to really force the average fares has worked out well for us. And I think for everybody overall.
John Rodgerson: And Savi, I just want to add, where Abhi has put this capacity has been in Campinas and Recife and in [indiscernible] were actually significantly down in places like Guarulhos. And then what you've also seen us do is you've added more cities to the map. So you actually have those accessing pockets of demand that weren't even online pre-pandemic. And so the network is a little different than it was, because there is more cities being served and much more focused on our hubs where we have strength.
Operator: Our next question comes from Dan McKenzie with Seaport Global.
Dan McKenzie: Hi, thanks guys. Yes, a couple of questions here. I guess first off, one housecleaning ASKs today are very different story than departures, I've seen departures down versus ASKs relative to ASKs. And are the current trends reasonable proxy for 2022 or can you perhaps just flush out that part of the story, that upgauging story next year?
Abhi Shah: Yes. Dan, I mean, what's happening is exactly what we wanted to happen. The airlines becoming more efficient. You have less departure rate costs and you're generating more ASKs. It's a combination of aircraft size, we have 92s. We didn't have those before we have A321. We didn't have those before and average stage length as well. So you'll see if you notice our stage length overall it's actually up, even though we don't have 4,000 mile trips to the U.S. and to Europe, right like we used to. So our domestic stage length is actually up quite significantly. And even then we're recovering unit racks, unit revenue. So I think that speaks further strength what we're seeing on the domestic side. But yes, it is a proxy of what you see in 2022 -- what you will see in 2022 departures down and more ASK generation.
Dan McKenzie: I see. Okay. The cash position today, how are you thinking about that use going forward and I guess what can you share about your conversations with LatAM at this point? And if you get to a position where the two airlines can reach an agreement, is the cash that you have today sufficient to execute on a potential merger or how are you thinking about the kind of the capital profile today? Yes, relative to growth plans, relative to potential consolidation.
John Rodgerson: Hey Dan, I'll let Alex kind of talk about our current cash. And then I'll answer the consolidation question.
Alex Malfitani: Yes. So hey Dan, on current cash, it's consistent with what we've been saying we were proud of the support that we got from our partners to get through the tough times that we had last year. And we committed to paying everybody back over time. And that's what we're going to do, right. We have multiple years to pay everyone. This year, it's mainly a year where we're paying back suppliers. Next year we'll start paying back the banks, the principal on the debt that was going to mature in 2020 and 2021. We renegotiated to start paying in 2022, and then 2023, we'll start paying back the lessor and we have multiple years to pay all of them back. But we can pay for that credit for that support a lot of it with our own internal cash flow generation, but we will need to roll some of that that forward, right. We're not going to just pay a 100% of our debt down all the time. We're going to look at our cost of capital. We're going to look at the instruments that we have and we're going to strategically decide, which debt we should pay down, which debt we should roll forward, which new sources of capital, we can access, right. But we are still targeting to be above R$3 billion at the end of the year like we guided a quarter or two ago. So some of the cash position that we have is intentional, right we raised that capital so that we can use it to pay for deleveraging and to pay -- to invest in the future so that we have the fleet ready to fly a 100% of its capacity whenever we decide to do so.
John Rodgerson: Yes, Dan, I -- we're not going to talk too specific about our negotiation strategy, but I will say that we believe strongly that consolidation is healthy, whether it's commercial or full integration consolidation in the market. Well TAM has their own process going on, where they do have an exclusivity period as we speak. But I am very confident that it's in the best interest of all of their stakeholders and especially their creditors, because the synergies of domestic consolidation in Brazil are very large and that will benefit everybody, it benefits pilots, it benefits suppliers, it benefits airports, it benefits the entire industry including OEMs. And so, yes, we haven’t given up on it. We're still looking at it. We're excited about the opportunities that exist and we think it's a very favorable regulatory environment to do so.
Alex Malfitani: Yes. And as John said, there's so much synergies, so much market value creation in any kind of transaction be it commercial or strategic that it's easily financeable, right. So the cash, if it's required for any one of these transactions to materialize will not be a problem.
John Rodgerson: We've had several inbound calls from some of the largest funds in the world wanting to finance the transaction. So we'll kind of update the market at the appropriate time, but there's nothing to update at this time.
Operator: [Operator Instructions]. Our next question comes from Savi with Raymond James.
Savi Syth: Hey, thanks for the follow-up here. Just a little bit more on the suites angle that you mentioned before is the kind of net slash suites just a net of kind of deliveries and retirements and therefore we'll see more kind of updating into next year and tied to that I was curious, given the kind of the improvement in utilization and the cost restructuring that you've done so far. Is it fair to assume that you can kind of get to non-field unit costs in 2022 that are better than 2019?
John Rodgerson: Yes, yes, Savi. I'll let Alex kind of address the unit cost, but that's why we're still here, right. I mean, a lot of people say, what the heck are you still doing in Brazil. You've been here 13 years. I'm here because, where did you meet 50, 70 E2s coming on that burn 20% less fuel than the E1s. And they have 18 more seats. Every time we take an A320neo, it's got 56 incremental seats and burns as much fuels already E1s do. And so as you kind of fast forward, what does Azul look like, what we've seen we're having nine of the E2s flying around and having 43 of the A320neos, it's very promising. So certainly unit costs improve. Certainly, we can actually increase our ASK production with lower level of departures and the airline is a much more efficient organization because of the re-fleeting that's taking place. And so we are several years in front of our competition on that front. And I think that that is -- that's what gets us so excited about this business.
Alex Malfitani: It's Alex again. I'm saying for next year, the fleet is going to stay essentially flat if we choose to do so, but we have the optionality to advance asset deliveries forward, right. And so we will make that decision at the appropriate time. I think worst case, we stay flat to slightly manual down as lease is reached their expiration date, but we have the ability to advance delivery of next generation aircraft if we choose to do so. On the unit cost side, I think everybody knows that the unit cost is going to come down dramatically from where they are today, right. First there's operational leverage. Now we can generate a lot more ASKs essentially with the structure that we already have in place. A lot of the fixed costs that are already in our P&L they will not go up as we bring the network and capacity back, right. So that operational leverage is going to reduce cash significantly. And then we also committed to you, right, and we reaffirmed that commitment that we will be a more efficient airline post COVID than we were. We already are. Just to give you an idea at the airport level, we already processed 50% more customers per airport crew member today compared to 2019. And we're pushing that number up, right. We have an internal goal to push it even further up. And so we will be even more efficient. Some of it is upgauging, but a lot of it is technology, a lot of it is processes and in every area of the company, we're committing to be a more efficient airline. So the bottom line is that when you get to 2022, if you control for fuel NFX, because everybody, I think has a different assumption for where fuel NFX will be. But if you control for fuel NFX, our unit costs will be down from 2019, somewhere in the mid-single-digits, right. Then you have to leave on your assumption for fuel NFX is that assumption for fuel NFX pushes costs up. Then the fact that we today have fares above 2019 levels, should give everybody confidence that we will be able to recapture that through cost increases to fares wherever they end up, right, because everybody in the industry is facing FX and fuel pressures. And so the capacity discipline and the rationality will allow us to continue pushing fares up if they're required. But in terms of unit cost, yes, you can count on us being certainly a more efficient airline post-COVID, as we committed to you.
John Rodgerson: One of the things on the fleet, one of the big things was what are you going to do with E1. And so obvious, already found homes for six E1s flying cargo and by the end of the year, we'll have as many as eight flying dedicated cargo aircraft on the E1. And as you know, as those get to end of lease our ability to renegotiate at a much lower average lease rate increases significantly. So we've even found a home and now they're starting to be good tension inside the airline is to kind of what happens with those assets. And so we feel very good about our fleet position right now.
Savi Syth: Okay. That's helpful. And just, I realized this is several years out, which feels like a lifetime right now, but with the Lilium Jet, like how did they fit within the network? Is it -- is it serving areas that you serve today or is it kind of making it easier for people to get to a zoo flights? Or how does those aircrafts fit within the network?
Abhi Shah: Yes, it's Abhi. So we've made a notional network for the Lilium Jet. And think about it as it's not really the airport run, it's more large metroplexes like São Paulo, you're connecting different suburbs, you're connecting -- some subs -- will take a two-and-a-half hour drive or a two-hour drive is now a 20 minute flight, right. So it's not really an Uber, Uber Black type service, it's something that's about 100 kilometers between suburbs, between downtown and beach destinations, between residential areas. And sort of connecting different points within a large metroplex that normally because of traffic, and because of distance, would take you over two hours, now takes you about 20 minutes. So it is much more aligned with intercity inter suburban travel rather than urban mobility, which is your classic 10 mile trip.
John Rodgerson: But Savi, I want to remind you, we fly caravans today, right? And we fly to destinations like Hangar and Buzios and Paraty and we get great average fares on those. And they're nice to the aircraft, right. And so the Lilium Jet has 16 aircraft with much lower cost. And so when we looked at it, it was a no brand for us.
Operator: Our next question comes from Dan McKenzie with Seaport Global.
Dan McKenzie: Well, hey, where is everybody today? Thanks for the time again, here. Alex, on Slide 10 I see the maturity profile, but just sort of following-up my prior question. What could leverage ultimately look like end of next year and say three years down the road? And what leverage profile do you really want to see for Azul longer-term?
Alex Malfitani: Sure. Yes, so we were in the high threes prior to the pandemic. One thing you need to adjust for that part of that number was because we have a young fleet, and now with IFRS 16 a young fleet generates more "debt" on the balance sheet than an airline with an older fleet, right. So you have to adjust for that. But even without adjusting, you're kind of saying high threes was kind of where we've started the pandemic. We were shooting to get to the low threes, and that's what we're going to do, right. As you project out our financials, you should see that we're going to get to a five handle fairly soon essentially next year, and that quickly converges to four, and then it quickly converges to three. So, we have a couple two, three years until we get to that target. But it's something that's very manageable, right. Especially, because we don't have a lot of debt maturities in the short-term, as you pointed out. So that's what we're going to focus on, until we get to something that starts with a three. We're going to keep all of our cash. We're going to reinvest it into business. We're going to use it to de-lever. Once we get to threes, maybe we can start having the conversations that a lot of investors were pushing us on before the pandemic. A lot of investors were saying, hey, you got too much cash when are you going to start paying dividends or buying back shares? Until we get to those leverage levels that I talked about, we're going to keep all of that cash, and then we'll see.
Dan McKenzie: Very good. Okay. And then I guess just a second question here on the cargo part of the operation. I'm just wondering if you can just help elaborate a little bit more on where you are today, where you want it to be end of next year, and how we should think about that growth trajectory as we head into next year, and also head into kind of over your three year plan.
Abhi Shah: Yes, hey Dan. So the logistics business is going to double from 2019 to 2021. We're well on track to do that. And I think we talked about this a lot on the last earnings call is we're really seeing great strength in customers migrating from road to air. And so that's driving. We aren't really stealing share from our competitors. We're helping grow the market. And so I think that's sustainable growth going forward. I mean, next year there's going to be strong growth as well. We have the ones that John talked about, which would significantly help and will connect our dedicated freighter fleet as well. So I -- we should have 20%, 25%, 30% growth again next year, as this momentum continues into next year.
John Rodgerson: Just to put that in perspective, Dan. we have R$500 million of revenue from cargo in 2019, that's a billion this year, obviously there is another 25%, 30%. So let's just say it's R$1.3 billion, that's R$800 million more top-line revenue that we get out of cargo than we had in 2019, right. So that's the investment we made in the business over the last two years, that's clearly helping us get to a more profitable 2022 than we had in 2019, the investment is a dedication that we made as a team, and it's paying off now. And certainly the growth doesn't stop in 2022, the growth will continue into 2023, and into 2024 as we further invest in our logistics business.
Dan McKenzie: Yes, very good. And then Abhi, well I have you, if I can just sneak one final one in here, this idea of a vaccine passport, is that a conversation that Brazil is beginning to have with Europe and other countries. And if you could just talk a little bit about how you see the international side of the business potentially waking up here?
Abhi Shah: Yes, I mean, it's still little bit slow, Dan. I mean, we know about the forecast forces in the U.S., with the UK, U.S., Europe, Canada, and Mexico, I think that the pressure is high to open those borders. And I think Brazil is on that list as well, especially with the numbers coming down here significantly in terms of hospitalizations, in terms of cases, in terms of death. So I do think that some countries like Spain, like France has started to open up with the vaccine requirement. We know about Greece, we know about places like that, even the UK now with the U.S. travelers. So I think momentum is building. So I think it's weeks away probably not. But I think momentum is building. And I think that it's important for sort of these rules to be aligned as much as possible, so that customers aren't dealing with different regulations for different countries. So I think momentum is building. And I think it's going to continue to build towards the end of the year. We'll take it as it comes for international. We're not going to force anything. There is significant pent-up demand, there's no doubt about it. But when the regulations open up, and they kind of make sense, we'll add back the service. I would say momentum is building. But I would say probably, maybe one or two months away, not one or two weeks away.
Operator: [Operator Instructions]. Ladies and gentlemen, this concludes today's question-and-answer session. I would like to invite John to proceed with his closing statements. Please go ahead, sir.
John Rodgerson: Hello thanks everybody for their time and especially thank you Azul team for all the work that they've put in and we look forward to talking to all of you, feel free to reach out to myself, Abhi, Alex or Thais and have a great day everybody.